Operator: Good day and welcome to the Full Year Results 2016 for Altice and SFR Group Conference Call. At this time I would like to turn the conference over to Mr. Nick Brown. Please go ahead, sir.
Nick Brown: Hello everyone and welcome to our Q4 and full year 2016 earnings call. In a moment, I will hand over to Michel Combes, Dexter and Dennis who will take you through the presentation and then [Michel Pullam] [ph] will join us as we open up the questions. As today's presentation may contain forward-looking statements, please read the legal disclaimer on Page 2 of this presentation. The slides are available on the Company's website and a replay of the call will be available for the next month. And with that, it's my pleasure to hand over to Altice's CEO, Michel Combes.
Michel Combes: Thanks Nick. Good morning to all of you. Starting on Slide 4, I want to briefly reflect on our achievements in 2016. As we've gone into 2017, Altice is stronger than ever. Firstly we have successfully integrated our U.S. businesses into the Altice Group and really transformed the Company in terms of scale and diversification. Secondly we have proven out our differentiated model. Europe's turnaround is almost complete and the U.S. has performed significantly better than before our acquisitions. Thirdly we have completed our Group internal reorganization to leverage our scale, expertise and innovative power across each of our subsidiaries. We now have all the building blocks in place for continued profitable growth. Hopefully we either achieved or exceeded our guidance, significantly strengthened our balance sheets, and increased ownership of our subsidiaries at good economics. For the future, our strategy is clear and centered on attracting the best talents to create and provide the best customer experience, the best infrastructure and the best content. We are also exploring the possibility of an IPO of a minority interest in Altice USA. Let discuss the key takeaway for Q4 on Slide 5. They are all about growth, margin expansion and investments for more growth and more margin expansion. Altice Group growth has accelerated with higher margins and the best quarterly performance since Altice IPO. SFR is back to growth while we invest strongly for such a growth. Altice USA revenue growth accelerated, margins have significantly expanded and we have made a new fiber investment commitments. Portugal is also back to growth with an acceleration in our fiber commitments, and all that has been achieved with a stronger balance sheet and improving customer satisfaction metrics. So Slide 6 summarizes our evolution 2016 graphically and you can see the dramatic improvements. Let's be very clear. You can on one side grow the business and on the other side drive profitability and cash flow by strict cost control, reinvesting savings into future growth of the business. This is the Altice model. We achieved dramatic revenue improvement in each of our major markets over the last year. All our businesses have contributed positively to the Group's revenue growth in Q4, at the same time Group margins have expanded substantially by more than 400 basis points and leverage has come down substantially. And we are now taking this positive momentum in 2017. Now, to update you on the margin evolution across the Group on Slide 7. We have seen significant margin improvements across all of our businesses and in particular in the U.S. SFR and MEO which have both invested in higher content cost and steel generated higher margins, while we have already taken measures that are yet to be reflected in our margins going forward. We will seek more about our individual businesses later on but there is more we will do here. And we believe there is more upside regarding operating free cash flow as our operational optimization progresses and investments normalize in select markets. On Slide 8 we show our footprint. We are extremely happy about our businesses in the current form but also regarding the value creation potential each of them offers. We love the U.S. markets, and we believe we will grow cash flow further particularly as we have only owned Suddenlink and Optimum for 12 and six months respectively. SFR has undergone a great turnaround and with our strong investment in infrastructure and selective content, we feel very strong going forward. And Portugal continues to do very well, as we see more opportunities to grow the business, as our investment capacity is much higher than our competitors. So, all in all, we have a powerful platform, well balanced between Europe and the U.S., well positioned in their respective markets and significant potential for topline and cash flow growth. Moving to Slide 9, if you want to grow and remain a market leader, you need to invest in differentiated infrastructure and we're all well positioned in each of our markets to do it, because we drive to be more efficient on the operating side. We are technology and infrastructure leaders, it's our core expertise and we believe we can upgrade, built out and maintain networks for less money and quicker than what the industry is used to. In 2016 alone, we upgraded about 9 million homes for higher speed broadband services. We have institutionalized Altice Labs as our Group R&D center, which has developed pioneer fiber GPON technology, customer premise equipment and most recently, we announced a partnership to continue to develop 5G technology with Ericsson. We have also insourced our main technical services provider to create Altice Technical Services, giving us end-to-end control over our network and the customer experience, to outline, again our target. In France, we are targeting 22 million fiber homes passed by 2022. Remember, Numericable, which we merged with SFR, was one of the first cable operators globally to upgrade its network to fiber to the basement and plus zero technology. More recently, rolling out fiber to the home technology in new areas has given us additional expertise in running hybrid cable fiber networks, which we can leverage in the U.S. In Portugal, we are rolling out fiber-to-the-home coverage nation-wide and we're well on track to reach our target for over 5 million homes passed in 2020, passing our competitors in 2017 to become the Number 1 leading fiber operator. And in the U.S., we have announced Generation GigaSpeed, which is our plan to drive fiber deeper in our existing hybrid fiber coax network for a next-generation fiber to the home network, capable of delivering broadband speeds of up to 10 gig and more across our footprint. On Slide 10 now, just want to update you on our Group convergent strategy and explain how we are driving scale benefits across the Group. Running our businesses with best-in-class efficiency, allow us to make the necessary investments to provide our customers with the best network access, which gives us a multi-screen addressable market. Adding content selectively to our telecommunications bundle differentiates our offers to help us reduce the churn of our customer base, drive higher gross customer additions with higher ARPU. In France, for example, we'll invest an incremental about €350 million to €400 million in additional content in 2017, including major sports rights, original programming and recent exclusive distribution deals with NBC Universal and Discovery, leveraging our relationships with the major programmers in the U.S. We have also been targeting acquiring media assets with strong standalone financial prospects, like NextRadioTV, which has the best talents and expertise, as well as strong brands like BFM, new advertising revenue sources and synergies with the rest of the Group. From this transaction, we were able to set up Altice Channel Factory, which has supported the launch of several new channels. We saw the benefits of Hyper local news in terms of reducing churn with Cablevision's News 12 channels. So we have set up a similar channel, BFM Paris in France. Going the other way, we have launched i24 NEWS in the U.S. The acquisition of Altice Media Group France has also supported the launch of SFR Presse, which is a market-leading digital newsstand application, included within our SFR telecommunications bundle. All of these investments serve to improve the brand perceptions of our companies and maximize our revenue opportunity. Lastly, Optimum has an advanced data analytics business, which we have transformed now into our Altice data analytics business, leveraging the data we can extract from set-top boxes. Just last week, we announced the acquisition of Audience Partners, from which we can now build a sophisticated multi-screening stack that we can use across the Group and sell as a solution to third-parties. We are looking to selectively invest more in this very high growth area. Lastly, on Slide 11, let me update you on the customer journey transformation approach that we are implementing across the Group. It is an initiative we had started in Israel a few years ago, and as we have shown you before, the results speak for themselves, on the left-hand side of the page. Between 2012 and 2016, the number of customer calls and service visits has halved. We put our customer satisfaction at the core of our operational strategy. We improved processes end-to-end with our staff, and as a result, customers are staying longer, and our churn has come down significantly over the same period. These best practices from Israel are being implemented at Altice USA with a consistent methodology. As you can see on the chart, in the middle, we are already seeing a significant improvement in customer service metrics, the intent is to control, with about a 20% year-over-year reduction in total calls and technical service visits in the second half, which we have seen in our other markets, is a leading indicator of reduced churn. With the support of the teams from Altice Group management, this process has started in France, but we have a lot more work to do here and this is where we are focusing. We are not yet seeing enough of an improvement in the same customer metrics. Areas of specific focus right now include trying to reduce repeat goals, average handling times and moving more towards digitalization of the customer experience. Moving Slide 13 and France, where you can see how our business has returned to growth in Q4, and this is after 24 quarters of decline, of which only seven were after Altice took control of SFR. Our focus on accelerating network upgrades, improving customer experience and new content initiatives has paid off, as SFR performance improved quarter after quarter through 2016. There was some support from non-recurring wholesale revenue in Q4, but as we continue on this path, with continued improvements across the rest of the business, we expect to see a stabilization in total revenue in 2017, which is a really significant improvement on past performance. Now, it remains a very competitive market, but our mobile customer base has stabilized without the need for us to match the very low-end promotions of our competitors. The continued expansion of our fiber footprint should support an acceleration in fiber customer growth and a stabilization in our total fixed customer base, although this will take a bit more time. And the next phase of our Company transformation should position us well to grow and continue to invest in the business. On Slide 14, you can see overall revenue growth for the B2C business in France is about to turn positive, driven by the mobile trend improving again, as the base stabilizes and as the fixed business has continued to grow in Q4. ARPU has benefited from our more for more content initiative. And we continue to focus on reducing churn to improve the subscriber trends further to achieve both growth on a sustainable basis. Looking at our French B2C fixed business first in more detail, on Slide 15. Although we have had support on the ARPU side, our focus remains on accelerating fiber additions, which have picked up slightly in Q4 and accelerating DSL migrations to drive growth. Competition remains tough, but we can still do much better here. And just like in mobile, where we have stabilized as we reduced the churn of our fixed base, it becomes much more expensive for the other operators to take customer from us. As we said we would do, we have expanded our bundles to offer a broader range of content outside of sports, to appeal to a broader range of customers. We expect more benefit from this in 2017, as more of the new channels come on stream. To help us improve performance here, we have also now completed in-sourcing of SFR main technical services and customer care providers. And we are continuing to improve all systems and processes with our Customer Journey Transformation. Slide 16, the focus is on our B2C mobile postpaid trends. In Q4, we were very pleased to see our total B2C mobile customer return to growth with 136,000 net adds, of which we had 33,000 postpaid net adds. As I mentioned before, this was without the need to match some of the low-end promotional offers of our competitors. So, our ARPU actually increased by 2.2% year-over-year. It is much harder for any other operator to take customers from us now, without burning a lot more cash, which is clearly unsustainable. The market is definitely shifting more towards no [indiscernible] offers, which we are addressing with our RED sub-brand, offering tariffs without content to be able to offer more compelling prices, as well as to differentiate more from our premium SFR bundles. But our network and content investments are paying off, and mobile growth should support SFR stabilizing revenues in 2017. As you can see on Slide 17, our mobile network investments are also benefiting the B2B business, with the customer base stabilizing here and ARPU growing as well in Q4, supporting another improvement in the revenue trend in Q4. On the fixed side, we have successfully improved the delivery process, reducing delivery times. Fixed voice is still an industry drag, but we are more of a challenger in trend, given we have much lower market share than incumbents. Our unified communications business is picking up and the expansion of new ICT Services product should be a future growth driver. As we move to Slide 18, we are really proud to show our achievements in terms of our mobile network upgrades, building the best networking trend. Never has an operator deployed such a large amount of sites in such a short time period as SFR did in 2016. For the fifth quarter in a row, SFR has been the leader in 4G deployment. In the last year, we have more than doubled our number of 4G sites, now covering more than 80% of population. In January 2017, we actually overtook Orange in terms of our number of 4G sites. We're also very focused on improving 4G quality and network speed and this is directly correlated to the number of antennas activated, where SFR is market leader. Nation-wide, as you can see at a top right of the slide, our average download speed is rapidly increasing. Now looking at our 4G+ deployments, offering up to 300 meg speeds in some cities such as Nancy, as we show in the bottom right chart, SFR provides its customers with the best download speeds, well ahead of its competitors. As we have said before, market is coming our way and quarter-after-quarter our investments are putting us in a stronger position. Now let's talk about our fixed network on Slide 19. We remain the leading fiber operator in France with 9.3 million homes passed at the end of 2016, which represent plus 1.6 million additional homes year-over-year. We will achieve our target to cover 22 million homes for completing the upgrade of our fiber HFC FTTB cable network, as well as the expansion of our fiber-to-the-home FTTH coverage. As you can see, SFR is doing everything it can to contribute to the success of France's very high speed plan, which is also why we are lobbying for a more balanced distribution of rollouts in less dense areas. As we upgrade and invest in our network, our customer experience is getting better and better. We offer up to 1 gig download, 100, 200 upload speed. And as you can see on the right, based on external studies, both our fiber and DSL are delivering the fastest speeds in the market. On top of that, a recent ARCEP study showed that our fiber and DSL connections are the most reliable, based on the customer satisfaction rates. Now to update you on how we are executing against our strategic plan on Slide 20, as I have outlined already, we are well on track with our network investment targets and our integrated content strategy. We continue to focus on offering the best access connectivity and services in the market, which would support our efforts to reduce churn and improve SFR brand perception. We're leveraging best practices from other Altice Group businesses to improve customer experience and accelerating this now, as we take control of all of our processes end to end, and push digitalization and eCommerce more. And as we take our reorganization into the second phase in 2017, SFR will become more efficient, punchier, and more customer-friendly. Turning to our Portuguese business on Slide 21, MEO returned to growth after 32 quarters of decline, of which only four where after Altice took control again, demonstrating a successful turnaround under the Altice Model. At the same time, we have accelerated MEO's national-wide FTTH rollouts, as we are fully committed to build a future-proof network and provide faster broadband speeds for more customers as soon as possible. Our fiber network will become Number 1 in 2017 in terms of coverage with around 4 million homes passed, surpassing NOS, which has led here for many years. MEO's margin stabilized compared to Q3, as we are now offsetting the higher premium sports content costs with an expansion of about 3 percentage points in the EBITDA margin year-over-year in Q4, even with the significant turnaround achieved in the revenue trend over the last year. On Slide 22, at the top left, you can see clearly that our accelerated fiber rollouts has continued, actually faster than expected, passing 3 million home passed as of the end of 2016. And we will accelerate the pace of the rollout further in 2017, building out more than 900,000 additional homes passed, bringing forward some CapEx from future years. You can see the acceleration in fiber net adds in the bottom left chart, which we expect to continue. Continue to reduce market share loss in areas where we previously couldn't sell DSL broadband and as we reduce overall customer losses, this will mean we can sustain better revenue performance in our fixed B2C business. We saw a slight decline in the B2C postpaid mobile subscriber base, as the quad play market has become saturated, with no further prepaid to postpaid migrations. However, the B2B mobile customer base and ARPU has stabilized with growth in ICT services and data, partly offsetting legacy B2B voice declines. And now I will hand over to Dexter to go through the review of Altice USA performance.
Dexter Goei: Thanks Michel. If you would just turn to Slide 23, we will see the summary of Altice USA's revenue dynamics. We saw another significant acceleration in revenue growth to 5.1% year-over-year in U.S. dollar terms in Q4, compared to just 1.2% last year on a pro forma basis, with margins and cash flow improving again at the same time. The team is executing exceptionally well here and we are building on all of Altice's prior experience in running other companies with our internal model of fearless reinvention. It is still our priority to drive superior revenue growth at the same time as investing in our networks, technology, operations and customer experience, as well as achieving the efficiency savings we've set out. And a significantly improved customer service matrices we are seeing, give us confidence that we are on track to delivering on all of our objectives. Just moving to Slide 24, we summarize Optimum and Suddenlink's growth profile separately. On the left-hand side, you can see Optimum has seen a significant acceleration in revenue growth after just six months under Altice's control, to 4.4% in U.S. dollar terms in Q4 versus 0.1% in Q4 2015. And we've been able to increase Optimum's EBITDA margins at the same time, almost 10 percentage points year-over-year to 38.2%, and this has been dropped through to an exceptionally operating free cash flow growth of 94% year-over-year. Suddenlink is also still maintaining growth comfortably above the average level of last year, at 6.7% in Q4 versus 4.5% in Q4 2015, as you can see on the right-hand side, even with a significant margin expansion of 4.3 percentage points year-over-year to 47.3%, which is the highest level in the U.S. cable industry. This has also dropped through to a strong growth in operating free cash flow, up 30% year-over-year. Moving on to Slide 25, you can see we've had a positive year-over-year customer and ARPU trends again for both Optimum and Suddenlink, which is driving the accelerated revenue growth. On the left hand side, we've shown Optimum residential B2C trends and we've stripped out advertising revenue from the ARPU calculations, to be consistent with Suddenlink's disclosure. Revenue has been driven by 0.8% growth year-over-year in unique customer relationships and ARPU growth of 2.6% on a constant currency basis. For Suddenlink, on the right-hand side, it was driven by 2.6% growth in unique customers and 4.7% growth in ARPU year-over-year. Moving on to Page 26, this chart shows how Altice USA continues to be a prime example of our approach across the Group to upgrade our networks, simplify and harmonize bundle offers and then drive the penetration of higher broadband speeds, resulting in higher cash flows, which we can then reinvest to support further growth. On the left-hand side, you can see that our initial upgrade to Optimum's network has led to a significantly higher number of customers taking higher speeds, from just 12% before Altice's control to about 60% today, matching Suddenlink by the end of Q4 2016. The proportion of the total base taking higher speeds has now increased to 13%, but we know we have a lot further to go with this. On the right hand side, you can see with about 60% of Suddenlink's new customers taking higher broadband speeds, almost 40% of the customer base are now taking speeds of 100 megabits or higher, from a similar starting point at Optimum just over a year ago. As a result, Optimum average broadband speeds delivered to our customers has now started to accelerate at 51 megabits in Q4 2016, from 40 megabits last year. And eventually we expect to catch up, narrow the gap with Suddenlink's average broadband speeds of 90 megabits and growing. And we have now taken our network upgrade to the next level with our new project Generation GigaSpeed to deliver a 10 gig broadband speed services to our customers and drive structural cost efficiencies in our network. Moving on to Page 27, to talk about Altice USA's margin progression, where you can see on the right hand side, we have reached 40.7% adjusted EBITDA margins on a combined basis in Q4 versus 32.4% in Q4 2015, with the operating cash flow margin for the full year in 2016 at 26%, almost 9 percentage points higher than in 2015. The chart on the left-hand side gives an update on how we're executing against our efficiency targets, comparing our cost base, excluding programming cost per customer per month in Q4, to the levels in 2015, and comparing those to our largest cable peers, Comcast and Charter, as they have reported their results for 2016. We have calculated this on a total cost basis for each operator and a total customer basis, including B2C and B2B for the data to be comparable. What it shows is Optimum's non-programming costs per customer have dropped significantly from $79 per month in 2015 to $59 per month in Q4. Now, a small portion of this improvement is due to disposal of a majority stake in Newsday, so we no longer consolidate its losses. But nevertheless, we've seen a large and rapid reduction in other costs, but we're still not there yet relative to our peers. The starting point for Suddenlink was lower at $48 per month in 2015, but this has been reduced to $43 in Q4, as we have not - as we have only just started with the synergies between Optimum and Suddenlink. So, overall, we believe this slide is a validation of our investment thesis, especially at the levels for the OpEx per customer excluding programing costs for Optimum and Suddenlink, were pretty much the same in 2014 compared to 2015. It's only since we've taken control of these businesses that's been possible to get to these levels of efficiencies. Moving on to Page 28, I want to highlight the improvements we've made to our customer service in more detail. This is where we are focused and where we are potentially approaching things in a different way relative to some of our peers. We want to fix the main issues affecting our customers at the source, so they don't need to call us, except if they want to buy more from us and they don't need a technical service visit to repair anything, ideally all of our services would eventually just work with no issues all the time. And if we are successful in doing this, then our cost to serve customers will come down even further. This is where our fiber upgrade is critical. It will create a much more resilient network with less service outages, less power usage and less incidences of failure, especially when combined with our new home entertainment hub center, which could be much more robust than a legacy CPA is being used. We can also then do things like remote diagnostics and software upgrades more effectively. And you can see the results here so far, with a 20% reduction in calls at Optimum and a 24% reduction in service visits year-over-year in the first six months since we've had operational control. Suddenlink has similarly seen a 15% reduction in calls and a 19% reduction in service visits. This includes the benefits of taking measures like the virtualization of our call centers, harmonizing scripts for our call center workers, introducing proper credit checks and simplifying bills. You'd be surprised how many calls are generated just from basic billing issues. Anyway, there's plenty of us to do more here at Altice USA to drive performance even further. And with that, I'll hand this to Dennis for the financial review.
Dennis Okhuijsen: Thank you, Dexter. Slide 30 shows Altice NV pro forma consolidated financial results, including media assets in France, MEO in Portugal, and Suddenlink and Optimum, excluding Newsday, in the U.S. In December 2016, we also announced the sale of our Belgium and Luxembourg businesses. So now our perimeter also includes that segment. Financials include one month of the contribution from the insourcing of Parilis and no impact from the insourcing of Intelcia, as the impacts were not material. The numbers here for France, International and U.S. are given on a standalone basis, as we have shown throughout this presentation to reconcile with the local reporting. And we have given the inter-segment and corporate cost adjustments to get to the Altice NV consolidated figures. For the full year 2016, total Group revenue of €23.5 billion declined by 0.3% on a constant currency basis and declined 0.2% year-over-year on a reported consolidated basis. 2016 was supported by the strong growth in Optimum and Suddenlink and improving trends in both France and Portugal, which returned to growth in the fourth quarter for the first time in many years. Group adjusted EBITDA increased 7.3 percentage points to €8.9 billion, or plus 7.2% on a constant currency basis, driven by a significant margin improvement in the U.S. Optimum grew by 22.5% and Suddenlink by 19%. And in Portugal, EBITDA grew 12.5% year-over-year. France EBITDA grew 0.6%, if you exclude the €63 million impact from content expense for the use of major sport rights and production of the SFR sport channels since August 2016, although slightly declined by 1% on a standalone reported basis, including these costs. Although the major sports rights we have acquired were capitalized in the third quarter at the Altice International level, we can now clarify, they will be expensed in France at the SFR level. So it will then be eliminated from EBITDA at the consolidated Altice NV level. The new Discovery and NBC Universal distribution rights will be expensed at SFR. Group operating free cash flow was up 6.6% to €4.7 billion, or up 6.5% on a constant currency basis, driven by the strong growth of Altice USA; Optimum and Suddenlink both growing about 60% year-on-year on a constant currency basis. Slide 31 shows our usual overview of our Group debt structure, which reflect all of our recent financing activity. As before, it's diversified across different silos with no recourse to each other. As you remember, our target leverage is 4 times at Altice Europe, that's the consolidated view including the €6.2 billion of Holdco debt in Luxembourg. And for Altice USA, our target leverage remains 5 times to 5.5 times. Net leverage at Altice Europe on the consolidated basis was 4.9 times at the end of 2016, down from 5 times in the third quarter. Leverage in France remained stable at 3.8 times, while Altice International leverage decreased to 3.8 times. Group leverage was 5.6 times on an LTM basis and on the last two quarter annualized basis, it was 5.4 times, reducing by half a turn year-over-year. Our availability on liquidity remained strong at €5.4 billion. Turning to Slide 32, you can see our U.S. leverage continues to come down rapidly. Suddenlink leverage reduced to 5.3 times on a last two quarter annualized basis before the dividend payments to partially pay down the vendor note, as compared to 7.5 times at the time of acquisition, so a decrease of 2 turns of EBITDA within 12 months of operations by Altice. From a similar starting point, Optimum leverage is already down to 6.2 times on the last two quarter annualized basis at the end of 2016, which represents a decrease of almost a turn of EBITDA in just six months of operations by Altice. On Slide 33, you can see our updated maturity profile. 2016 was a successful year of refinancing for the Altice Group, with over €21 billion equivalent of debt to refinance across all our credit pools. The average life of our debt is now 6.6 years with a weighted average cost of 6.2% for the Group. As you can see on the chart, and as we have mentioned in the past, we have no major maturities at SFR or Altice International till 2022, and none at Suddenlink till 2020. Some of Optimum's debt matures in the near term, but remember, we have a €2.1 billion revolver in place, which we can use to cover maturities in the next few years if we want. We will continue to proactively manage our maturity profile and we will be launching refinancing across our debt silos shortly. And finally, Slide 34 shows our guidance for 2017. But first, I would like to emphasize our achievements for 2016, as all of our financial guidance was achieved, revenue trends improved, our adjusted EBITDA grew by mid-single digits and our operating free cash flow was slightly down year-over-year, if you look at those items on our 2015 perimeter, excluding Optimum media and content, amongst a few other things. For 2017 guidance, this is given on the current Group perimeter, which includes Optimum media assets in France, and excludes our Belgium and Luxembourg businesses. We expect revenue growth for the Group, including revenue stabilization in France on a pro forma and organic basis. We expect Group EBITDA growth in high-single digits. And overall, we expect a CapEx envelope of €4 billion for 2017. This includes the final year of peak CapEx as we previously guided, to deliver on our mobile network coverage target for France. And with that, operator, we are happy to take questions.
Operator: [Operator Instructions] We will now move to our first question from Andrew Lee from Goldman Sachs. Please go ahead.
Andrew Lee: Hi, I just had a couple questions on the U.S. and then on France. On the U.S., you do seem to have done - it's an understatement - so you've done quite a lot of your targeted mid-term Optimum cost savings already. So just wondered how much do you think you have done of that. And is $900 million an up-to-date target? And then just a second question on the U.S., could we just have an update on DirectTV, Halo and the perceived content threat going on there? And then just lastly on France, the topline stabilized, but FX and content cost have obviously gone up. How much more do these costs have to go up and how close are we to turn in customer perception in fixed? Thank you.
Dexter Goei: I think on the U.S. without getting too specific on your question, I think we feel very comfortable with our mid-term targets. We've always thought that the easy wins were about at least a third of our mid-term target. I think it's fair to say that the lower hanging fruit easy wins have been more than that. We have clearly achieved approximately about 50% of our targets, if not a little bit more, and we feel very good about our ability to achieve our medium-term targets and hopefully exceed them. I think your question regarding OTT providers, we're not seeing a meaningful change in the behavior of our clients today. There are a significant amount of, what I'd like to call, me-too type of offerings out there, that if you stack them up economically, are not major economic savings, if - in many cases not economic savings at all. Obviously, there are people who'd like to have a little bit better control of their content offerings and are choosing to go for skinnier packages, often on to an OTT platform. But again, we're not seeing a meaningful change with DirecTV's offering with Hulu's proposed offerings, with Google's recent offerings and I think we'll continue to see multiple operators come out with me-too look-alikes. But today, we're not seeing any dramatic change in our customers' behavior.
Michel Combes: On France, on your first question concerning content, I guess that with the additional content investments, we are giving up some near-term margin progression to deliver a quicker and more sustainable return to revenue growth. But this doesn't change the real opportunities we have to make Altice more efficient over the long term. Remember that this include our transformation plan, significant amount of data cost savings we can get from continuing to migrate customers on to our own network and additional savings from IT and customer care. So, all in all, we are not changing our medium-term margin guidance for SFR, but just a slightly different profile for the next two years. Second on customer perception, it's fair to say that we have started to see the very early signs on improvements of the customer perception that we measure through the NPS score. We are still lagging behind our peers, but we have seen an inflection point in November, both on fixed and mobile. So, again, still early days, but it's clear that all the investments that we have done in networks and in content are starting to pay off. And that's what we are focused on for the next coming quarters.
Andrew Lee: Thank you.
Operator: Thank you. We'll now move on to our next question from Dimitri Kallianiotis from Redburn. Please go ahead.
Dimitri Kallianiotis: Thank you. Just have three questions. The first one is regarding the U.S., you've done a remarkable job in terms of upgrading the network at speed and on the back of very low CapEx. I was just wondering regarding your plans to continue to increase significantly the speed, if that could be done within the same CapEx envelope, or if you needed to increase and how long you think it will take? My second question is regarding the fixed performance in France. If you could just explain to us a little bit more why the churn is still so high and if you're seeing any sort of early improvement in terms of churn, more for the sort of higher value subscribers, if we're seeing any positive impact from the increased investment in content? And my last question is regarding the debt, could you give us an indication where the net debt has gone up over the last two quarters? And obviously you're doing still quite a lot of restructuring in this year, so is it fair to assume a relatively limited decrease in the net debt in 2017? Thank you.
Dexter Goei: Dimitri, on the first one, we clearly are focused on driving to our fiber-to-the-home rollout over the next five years. We're going to maintain the same CapEx budget envelope that we're spending today. We don't think we need to increase that. You have to remember that we are doing last-mile upgrade as opposed to end-to-end fiber-to-the-home build-out. And secondly that our network, even in the Optimum footprint, overall across our Altice USA footprint is 80% aerial, right. So we clearly believe that our CapEx needs are covered by our existing budget and spend that we're seeing in 2016 and we don't expect that to materially increase at all going forward.
Michel Combes: On your second question concerning the fixed performance in France, I would say a mixed outcome there. On one side, as I've already mentioned, clearly still a bit disappointed in terms of net adds in France. But on the other side, I should just highlight to say that we have been able to drive ARPU up, thanks to all what we have done in terms of product and let's say, mainly content. On net adds and on your question concerning churn, clear that we are not yet there on - neither on fiber, nor on DSL. We are taking several measures in order to improve that. Of course, we are suffering from a brand perception, I guess that the content investment is helping us to improve that. We are suffering a bit on our network. All the investments which have been done in the recent quarters are starting to pay off. We have now quite differentiated offers with the content investments that we have done. And so, all that is starting to have an impact on the fixed NPAs as I have already mentioned since November, which is a good early indicator of, let's say, how churn might evolve in the next coming quarters. So that's where we stand. Obviously, we have also refreshed our offers to improve the situation. We are suffering probably a little bit more on the churn as well, because we didn't have so great low-end offers in fixed as we have in mobile with our offer sample. So we have just launched those new offers this week and we will generalize those offers in the next coming weeks. So all in all, in between content investment, network investment, process refresh, reintegration of our customer care, you'll probably remember that I flagged this one the last quarter presentation, but I said obviously that it would take a few quarters in order to see the benefit, as well as the integration of our technical services, which has just happened end of the year, which would also help us to improve our processes. So all that putting together, we have, let's say, strong expectations to improve the churn in the next coming quarters, with the ARPU that we are seeing will, let's say, allow us to maintain and even to accelerate the revenue growth that we are seeing on our fixed business, because as you've seen, we have posted revenue growth on our B2C fixed business in Q3 and in Q4. On the last question, Dennis answer that.
Dennis Okhuijsen: On the debt, I think the increase in the debt from the third to the fourth quarter, which was approximately €1.4 billion, €1.3 billion is FX related, as we carry dollar-nominated debt, which we convert to euros at the end of the year. So, €1.3 billion relate to that. The acquisitions of Parilis and Intelcia were probably another around €200 million outflow. And on top of that, we paid close to €100 million dividends to our partners in the U.S., because that dividend flow was required for us to partly pay down the vendor note. So on an operational basis, we were clearly cash positive for the fourth quarter, if you take these elements into account. Then I don't think we're providing guidance for net debt for 2017, but I think besides the guidance which we have given here and the interest expense and the fact that we don't pay a significant cash outlay in terms of cash taxes across the Group, and I think we previously have disclosed, I think, some of the restructuring expenses that are to be expected, I think people can calculate what the trend would be for 2017.
Dimitri Kallianiotis: Thank you.
Operator: Thank you. We’ll now move on to our next question from Emmanuel Carlier from ING. Please go ahead.
Emmanuel Carlier: Yes hi, one question on CapEx. So you guide for €4 billion, U.S. is sustainable, France is still a bit weak, Portugal is still a bit weak. Do you see around €3.7 billion as a sustainable CapEx level, let's say for the next five years? That's the first one. Then the second one is on content investments. Yes, of course, this is lowering churn. But I'm just wondering how you look at the return on investment of content? And then the last question is on your M&A strategy. So I think in October 2015, you said that for two years you would do no deals and be focused on integrating. How should we actually look at that? Does that mean that you would not announce any acquisition before October 2017, or could we potentially expect an acquisition a bit earlier and this is more in terms of closing dates? Thank you.
Michel Combes: So first one on CapEx, I guess that I'm not going to give you guidance for the next three to five years. But it's fair to say that on trend, as we have explained in the past, we are picking up, let's say, in 2016 and 2017 as we are rolling out fiber networks and mobile networks where we captured, in terms of 4G, we have always said that starting 2018, we should see a reduction of our CapEx spend in France by roughly €200 million, due to the fact that the 4G network will have been rolled out. So that's all. One piece in Portugal, as I have mentioned also in what I've said in my earlier remarks, we are picking up a bit in 2017 in order to accelerate our fiber rollout compared to what we had said previously, so which means a few tens of millions above what we were expecting to do and so that will not have to do in the next few years. So that's more or less, let's say, what it can give you. I guess that for the U.S., it's quite stable for the next coming years with the plans that Dexter has presented. So that's for the CapEx, so that will, let's say, give you, I guess, quite a new answer to the question that you have raised. On the second piece, which is the return on investment on content, the way we look at it, we are quite happy with the success of our content strategy. Of course, it's still early days. How do we measure return on that stage? A, brand recognition, so which is important, because as you know, in France the SFR brand had suffered a lot in the past few quarters, which translates in an ability to improve our gross adds and that's what we have clearly seen on the fiber network, where we have probably the highest level of gross adds in France right now. Third is ARPU, of course, let's say, it's clear that our continued investment has allowed us to increase our ARPU. We are the only player in the market in France to have increased ARPU both in fixed and in mobile in the past year, which clearly have been sustained by our investment in terms of content. Fourth is churn. So as I've told you, still early days, but we start to see some impact on our churn. And the last piece that I would like to highlight is the success of our bundled offers that we're promoting right now in France, our family offers, which are really content-centric, meaning that it's offers which are about sharing data and content in between the family members. We have great success on those offers, which deliver an ARPU which is north €80 per month and which also have a churn which is below 7%. So all that gives us some strong and good comfort that the investments in content is paying off. Last, but not least, I guess that by investing in content, we are raising the hurdle for our competitors to compete against us, because it's clear that in order to invest both in network and in content, you need financial muscles and resources that maybe not all the players in France will have, so which is great also to create competitiveness for the quarters to come. On your third question, which is related to M&A, we have been very focused on integrating our businesses, or the businesses we have acquired and achieving our efficiency and investment targets. As a result, you should continue to see a rapid deleverage of our balance sheet, down towards our target, which as Dennis has reiterated just a few minutes ago, 4 times in Europe, 5 times to 5.5 times in the U.S. In the meantime, we would review in-market consolidation opportunities if we feel they can create a lot of value for the Group.
Emmanuel Carlier: Thank you.
Operator: Thank you. We’ll now move on to our next question from Frederic Boulan from Bank of America Merrill Lynch. Please go ahead.
Frederic Boulan: Hi, good afternoon everyone. Couple of follow-ups. Firstly, on SFR. I'm trying to reconcile your increased content spending between EPL, Discovery, NBCU, and your 45% margin target. So, can you help us a little bit - articulate how despite those increased content costs, we can still reach 45%? And in particular, what's your date on reducing wholesale costs? I think you had a high ambition of reducing that cost dramatically. And also, how is the DSL to cable migration going? And secondly, more from a commercial standpoint, just trying to understand a little bit what you're trying to achieve in terms of commercial strategy. You still have very aggressive offers out there, 20-gig of data for €10, 100-meg broadband for €15 on the Red brand. Is this still something that we should see as temporary as you're trying to fix your network quality and your brand perception, or we should expect this to remain a long-term feature of the market? Thank you.
Michel Combes: On the second question, as I have Michel Pullam with me, who is really the architect of all different solutions in France, I will let him elaborate a bit on the commercial offers which are in the market right now. So that's your second question. On the first one, as I've already alluded to, fair to say that we've highlighted the extra spend that we're making in content investments, where, as I have already mentioned, we're giving up some near-term margin progression to deliver quicker and more sustainable return to revenue growth, which obviously will impact our margin, let's say, in the second stage. But let's say, we have some other bit and pieces and that doesn't change the real opportunities we have to make SFR more efficient over the long run. As I have already presented different occasions in previous call, let's say, the first one is about our data cuts. We still have an €800 million spend vis-a-vis Orange to use their network in order to be able to deliver our services. And as you know, we are on our way to migrate our services from Orange network to our own network; that has already resulted in a saving of about €113 million in 2016. So we moved from, let's say, more than €900 million to €800 million now, in terms of spend vis-a-vis Orange, and of course, there is still a lot of room to grow. The second is, obviously, our transformation plan, which has started. I told you back in Q3 that it would be a two-step plan. First, retail, then the rest of the Company. Retail was about 1,000 people leaving the Company at the end of this transformation. The second step will be more or less around 4,000 people. Retail is nearly done. The second step will start in July. And you remember that the total impact of this transformation will be wrapped around €400 million savings on a yearly run rate basis. We will not see all these, let's say, savings in 2017, as people will leave progressively during the year, but that's a second kicker that we will have on our cost structure. And then, let's say, we have some other pockets such as customer care. We have all the transformation that we are doing right now to move more cost to digital, and also to leverage new company that we have inserted, in order to deliver more efficient call centers, as well as IT where we are picking a little bit in terms of IT spends to simplify all our architectures. And that will also deliver some significant savings in the mid-term. So, all in all, and that's what I have already mentioned, we have not changed our medium-term margin guidance of 45%. These are levers that we can activate in order to reduce the cost. And we have decided to invest a little bit ahead of those savings in terms of content in order to drive sustainable growth earlier than later. So that's for your question about cut mission on commercials.
Unidentified Representative: As you know, the French market is still very competitive and we have very aggressive offers right now. In Q4, it was very aggressive with 50 gig offers, it's a price of €2.99 and €3.99 from Iliad and Bouygues. And we are still on the market today, offers from Bouygues very aggressive at €3.99 for 50 gigs. And for example, the fixed plus mobile network offer at €19.88 for 50 gigs plus unlimited, plus TV 3D. So it means that it's very, very aggressive. Our strategy is in fact we have offers which are creating value long-term and we decided not to replicate to this type bundles, which are profitless and that's the reason why with our RED offer, we're proposing some offers at €10. But we do believe today this is the best answer long-term to create long-term revenues and long-term growth. Also, we do believe that when you have 50 gig at €3.99 and after one year, you have an increase up to €20, there are some churns, long-term concern and we believe that with the type of offer we provide today on RED, we will be able to maintain and reduce the churn today on the offers, very aggressive market, the French market.
Frederic Boulan: If I just may follow up on - two follow-ups. Firstly on this pricing, should we expect any change in strategy as your network quality improves and we're seeing very significant improvement in - in fact, connected and download speeds? And then secondly, can you update us on the management fees? You haven't talked about it, can we forget about it or it's still an active discussion topic? Thank you.
Michel Combes: So, on your first question concerning pricing, let's say, no real change to the expected - I mean, as Michel was alluding to, we are operating on two different markets right now in France. One, which is related to what we call our whole complex in fixed and mobile, which is mainly content-centric, which has allowed us to have quite a robust ARPU that we have increased in the past, which includes not only access, but also content in it. We have a great amount of data, so that's on one side. Of course, let's say, as more content we bring on the table, the highest ARPU we can generate from those customers and as in the U.S., we are migrating our customers from low-end plans to higher-end plans. And then on the other side, we have the [indiscernible] both in mobile and fixed, which are mainly data-centric rather than content-centric for the people who don't really care about the content and which can have a lower price points. But of course, then we will try to upsell them to content offers in the course of their journey. What is new as a pricing strategy which has been implemented by Michel, on the one side, this is this bifurcation in between [indiscernible] and the second, not to replicate anymore to these very, very aggressive offers which are in the marketplace, which are just generating churn and which are creating no value. So, the figures that you have seen in our report and the 33,000 net adds, for example, in mobile that we have been able to deliver in Q4, we have done without any promotion on our side, which is very different from what has been reported by our peers and all which we have done in 2015. So that's where we stand. On your question concerning the management fees, or franchising fees, as I have explained, I guess, back in Q3, that our intent to implement these fees to cope with the organization we have been able to implement in 2016 and to reward for the service which are delivered by the different countries and which allow the different countries to improve their profitability. We are in discussions right now in the different countries, that's not yet been implemented except for two countries, Portugal and Israel, and let's say we are continuing the discussions with the other countries. So that's what we've done.
Frederic Boulan: Okay. Thank you.
Operator: Thank you. We'll now move on to our next question from Paul Moran from Northern Trust. Please go ahead.
Paul Moran: Thanks for taking my questions. I have two. The first one is - they are both on the U.S., first one, straightforward. Just with respect to the good EBITDA and CapEx for the year, can you confirm that there is no - that that's a relatively clean number, there's nothing in other costs or working capital? And then secondly, I just wanted to confirm, Dexter, did you mention that the cost base year-on-year for Optimum is down by €450 million? And also if you could perhaps give us a little bit of a flavor of the bridge there, what you're getting from revenue drop-through, the cost coming out and the Newsday figures and program inflation, that would be very helpful? Thank you.
Dexter Goei: I mean, listen, on the first one, yes, it's a clean number. There's nothing in there that's abnormal in any shape or form. On the cost base, we're not necessarily going into a significant amount of detail there. But it's fair to say that as you look at high-single digit programming cost growth and then if you adjust that for any reductions in RGUs, which kind of gets you to kind of mid-single digit revenue - programming cost growth and you put that up across the revenue growth numbers at Optimum, you're not seeing a huge amount of margin expansion coming from just your topline. So I think - then to the numbers on, let's say, Q4 2015 to Q4 2016, and you look at the run rate numbers, you'll get a real good perspective as to where we are on the OpEx development side. OpEx development, yes, I think it's fair to say that we've taken out at least half of our stated mid-term target of €900 million, and you're seeing that really across the board in every single department, other than we're not seeing a big change at all in our marketing costs. Obviously, certain things on the marketing side, which have to do with third-party suppliers, we've been able to save. But other than that, very large material move in Corporate and in SG&A. We've seen some departures purely on a voluntary basis, which we haven't replaced, some voluntary retirement people who have elected to take attractive severance packages. But really nothing consequential, at least, in terms of large size, just really turning the screws a little bit more, being very thoughtful about how we spend the money, and making sure we've all the right cost controls in place across every single line item, and making sure that we revisit key supplier contracts across the board. There is a statistic we like to use, which is the number of third-party suppliers that we deal with, who gets an invoice in the year. That number was 14,000 third-party suppliers between Suddenlink and Optimum. We've taken that number down to close to 2,000 today. So just purely the simplification of our processes internally and the leverage we can get by getting volume discounts from suppliers and getting rid of a lot of clutter internally is driving a big chunk of these early wins. And we think that you'll continue to see those coming into 2017, as a lot of the decisions have been made in 2016, but don't actually come into effect until 2017.
Paul Moran: Just to follow up on - can you just explain what - in that bridge, I understand what you're saying about the EBITDA drop through and the programing inflation. What was the effect of the divestment of Newsday? What does that do with respect to the savings year-on-year, can you give us some sense?
Dexter Goei: Listen, the Newsday numbers were contributing about a negative €20 million of EBITDA to the business. So that's been deconsolidated.
Paul Moran: Okay. That means my number screwed up. And then, just one last cheeky follow-up, if I can, just with respect to - I mean, if you think about it going forward, you're getting an offset on the revenue drop to more than offsetting the content inflation, the programming inflation. And then, obviously, you're going to upgrade the network, which gives you even more pricing power. When do you think you're going to start rolling that out? Obviously, it's a five-year program. There's a long way to go. When does that actually start to be marketed in the various footprints?
Dexter Goei: We've already started to do the physical upgrade of the network out here in in the State of New York. We've already got 75,000 homes passed, which are designed and architected, so those are the first ones we're hitting. So we've actually got about 5,000 homes, which would be ready to market if we were ready to market them, so it really is a function of getting our equipment based strategy in place which will get launched in the second quarter of this year, making sure we have all the right technologies in place to deliver over our new fiber network. So we'll probably start delivering services towards the third quarter of this year, maybe the fourth, but I am hopeful it will be the third quarter of this year.
Paul Moran: Okay, great. Thanks very much.
Operator: Thank you. We’ll now move on to our next question from Emmet Kelly from Morgan Stanley. Please go ahead.
Emmet Kelly: Yes, thank you very much for taking the question and I've also got three questions as well, I'm afraid. The first question I guess is for Michel. Michel, could you just maybe talk about your kind of medium-term fiber strategy in France, in particular in areas outside of where you have the Numericable footprint? Do you think maybe over time you might see a step-up in the co-investment efforts that you're making there maybe with Orange, other telcos, or maybe even with the local municipalities, and maybe also refer to what you're expecting from the ARCEP review into the French fiber market. Second question, I guess, it's for Dexter. Dexter, any update on the negotiations that you have had with the U.S. content providers? I think you resigned with, I think it was AMC Networks back around Christmas or January. Are you beginning to see more rationality in terms of the repricing model there and what the content providers are looking for in terms of inflation? And then lastly for Dennis. Dennis, you mentioned some potential debt refi perhaps in 2017. I know it's difficult to comment, but could you maybe big picture mention where you see some opportunities? Thank you.
Michel Combes: Just in terms of mid-term fiber strategy in France, as you know, I guess that in 2017 we will have nearly finalized the upgrade of our HFC network. And so all our new deals will be FTTH and we have stepped up our factory in order to be able to roll out more or less 2 million households passed per year, so that's what we are going to start to implement. We have lots of a place where we can build. As you know, we are negotiating a rebalance of fiber coverage in France, in between Orange and SFR. There was an agreement done in the past, pre-Altice acquisition, which was splitting the non-dense areas in between Orange and SFR, 80:20, and we are shooting for rebalancing roughly around a 50-50 target that we would like to achieve. Discussions are underway and we'll, let's say, of course update you in due course, but I have no doubt that we'll be able to rebalance as we are ready to invest more and to upgrade, to go faster in terms of fiber rollouts in France. So basically, that's what we are. We intend to roll out as much fiber as we can, because we don't want to replicate in fiber what happened in DSL in the past, meaning that we don't want to be a reseller of the infrastructure of the others, we just want to operate our own infrastructure. On the content side in the U.S., Dexter?
Dexter Goei: On the content side, listen, we continue to have regular renegotiations and re-ups. I think your use of the word rationality is probably fair to say that from our perspective, it continues to be relatively irrational in terms of the demand. But I think we are getting our arms around the stakes, the coordination globally, the opportunities to develop new products with our programming partners. So I would say that it is going as expected, to better than expected before we took over these businesses, both at Suddenlink and at Optimum today. And we're hopeful that as we launch our new home hub center, we will be able to deliver a significantly improved product for our customers with a much, much better user experience, alongside our programing partners.
Dennis Okhuijsen: On your last question, I think we are targeting - actually we have launched, as of today, I think refinancing of the term loans in both Optimum and Suddenlink today for a total number of €4.7 billion. So there will be refinancing existing term loans and some shorter dated bonds, we will be looking to refinance. We launched that today. We are hoping to complete that in the short run. And then I think we probably are focused to do something similar in Europe, on France and Altice International. So you should not be surprised if in the next couple of weeks, we would be having refinanced €9 billion of debt, where we got further extension at hopefully better price points.
Emmet Kelly: Great. Thank you very much.
Operator: Thank you. We’ll now move on to our next question from [Winston Moody from Auto] [ph]. Please go ahead.
Unidentified Analyst: Yes, actually some quick follow-up. Maybe beginning with U.S., Dexter, it's not really on the me-too impact, but more as a peers' discount impact with, I suppose, the strong overlap on your footprint of the FiOS and also the Direct now discounts. Do you feel some drag on the gross adds? And regarding France, if I understand correctly, once you seek the churn, we have to expect a strong improvement of the famous KPI given by ARCEP, namely the net adds on more than 100 megabits in France, or the poor 5,000 in cables versus 260 in fiber, we have to expect improvements once you seek the churn? And the third one, regarding your figures maybe on content cost, is it fair to talk about the €300 million incremental impact from content cuts in France in 2017, on top of the starting point in 2016, close to €100 million?
Dexter Goei: I think on the first one, no, I think, as I commented before, we're not seeing material change in our customer behaviors. I think our gross add numbers are healthy. There are obviously seasonality issues quarter-over-quarter, depending on various different issues that come out, but there is no trends that we're seeing in our business that would suggest that we're seeing stronger competition relative to the OTT providers. It's clear that in the fourth quarter of 2016, FiOS was a little bit more aggressive than usual, as they were catching up on their 2016 budget post-strike. So, if you look at our comparable numbers year-over-year on net adds at Optimum, we were down relative to Q4 2015. But on an overall annual basis, we were materially higher than 2015 in terms of net adds for the overall year. And we clearly did not give up the entire gains that we got during the Verizon strike. So all in all, for the entire year was a very, very strong year at Optimum, irrespective of the competitiveness of FiOS and our rate event in the fourth quarter.
Michel Combes: On first, the fixed business in France that we already covered a bit earlier on, I guess that what you have seen in Q4 is slight improvement of our fiber net adds in France, compared to the two previous quarters; that has been mainly impacted by an improvement of our gross adds, and that was mainly driven by the content that we have included in our offers. And as I mentioned already, I guess that from a gross adds perspective, we are in a good spot. We can always do better. But compared to the other players and mainly Orange in France, I guess that from a gross add perspective, we are in a good spot. For migration from DSL to fiber, probably we can still a bit improve. And that's what we're pushing for, by easing the processes in order to do these transition from DSL to fiber. But the main improvement point, and that was the one that you were alluding to is churn, where clearly our level of churn on fiber is still too high, both on our former cable platform, so the Numericable 1, as well as on our fiber platform. So that's what we're fixing right now. We've all would have already explained earlier on working on the network and the processes on different stage of life of our customers, on the product offering, just to make sure that we do that in a proper manner. That was the reason of the reintegration of our technical services, of our customer services, just to make sure that we have smooth processes and that we can really improve significantly the churn. There is no doubt in our mind that we can do that, A, because we have proven track records in other geographies. And as well because as I was also mentioning to you in some of our new offers, such as our family offers, which is based on fixed and mobile, we are already reaching level of churn, which are below 10%. So that gives us some interesting points to show that we can improve significantly the churn. By doing that, we should raise in the next coming quarters our net adds in fiber compared to what we are seeing right now. So that's for fixed churn. For the content, so as we have mentioned, so that is €350 million to €400 million extra spend, compared to 2016. To be completely precise, we have accounted for in Q4 €63.4 million spend in content, which was previously capitalized and which has been expensed in SFR accounts. So, it's €350-ish million, top-up, if I can say so. So a €350 million increase that's already include this €63.4 million. So which means that if you really compare 2017 to 2016, we should have an increase, which would be in between €350 million to €400 million, minus €63.4 million, if you look at the reported figures.
Unidentified Analyst: All right, very clear.
Operator: Thank you. We’ll now move on to our next question from Jonathan Dann from Royal Bank of Canada. Please go ahead.
Jonathan Dann: Hi there. Thank you for taking the question. So if I could ask one follow-up. So in terms of fiber gross adds, you are running already at above the net add figures that someone like Orange is reporting. So you're running at gross adds in the 400, 500s, if I can you just clarify that? And then secondly, I'm trying to get a handle on the fiber projects. I think years ago, Portugal Telecom gave have a low-100s figure of the cost of passing a fiber connection. If we were to benchmark fiber costs in Portugal, U.S. and France, how do they sort of - what's the sort of ratio? Are we talking, in France, you're well below the wholesale cost that Orange is charging, and the U.S. somewhere in between, or all of the costs much closer to Portugal?
Michel Combes: So two things. On the fiber gross adds, I guess that you gave a figure. We don't report exactly this figure, but let me state, it's quite - your figure was close to what we achieved. Just one point to put in perspective, that doesn't include the migration. So you were just speaking about gross adds. So when you are looking at fiber, there is gross adds on one side, then you have the migration from DSL to fiber, and then you have your churn. And so once again, in terms of gross adds, if you were to compare Orange with SFR, you would find something which is consistent. If you look at migration that's also quite consistent, that on churn that we are not at the level of our main competitor. And so that's why we need to fix this one in order to significantly enhance our net adds figures in terms of fiber. And once again, we're very comfortable with Michel that we can achieve that. We have a clear plan in order to make it very operationalized, we have all the items that I have already mentioned. So you should see in the next coming quarters, an uplift of our net adds in fiber, as you've seen, first of all, in Portugal, as we reported in Q4, our highest net adds number in fiber in Portugal, since I guess two to three years since we started fiber. So we know how to fix it. We know what has to be done and there is no doubt that with the best network in place, plus the best content offer, we should exceed any other player in the French market in terms of fiber net adds, no doubt. On your second point, which is around the cost to deliver fiber connection, that's something on which we won't give any information, as that's a commercial type of piece that we want to keep on our chest. I can just highlight, and as we have always said is, as you know, we are first leveraging the skills and capabilities that we have within the Group. We have developed, in the past few years, very strong skills, not only on the technology itself, for LTE slabs in Portugal, which allows us to have a best product in place, network product as well as CPE. We have also developed some great knowledge in terms of fiber rollout, thanks to our technical services companies and the that's one of the reason why we have reintegrated those companies within Altice, because they are part of our knowledge. And last, but not least, we are probably one of the biggest player in terms of fiber rollout upgrade in the world right now. We have upgraded more than 90 million home passed this year, so which gives us also scale in this type of process. So all that put together gives us a clear competitive advantage, but I'm not going to disclose to you the exact figures on that.
Jonathan Dann: Thank you very much.
Operator: Thank you. We’ll now move on to our final question from Robert Grindle, Deutsche Bank. Please go ahead.
Robert Grindle: First question just a follow-up on the management fee question. I think you said that Portugal and Israel fees were agreed. I wonder, do they actually pay anything in Q4 and what is the quantum of the management fee going forward? And perhaps that answers my second question. I thought perhaps that the International EBITDA would have been boosted by the SFR content rights payment, but it didn't seem to be. So I wondered whether, A, it could be the management fees or B, was there something else going on in International, a provision or something which offset the benefit of that? Thank you.
Dennis Okhuijsen: Yes, I think on Portugal and Israel, we implemented the management fee concept in 2016 that was consistent, I think, with the guidance which we have given that we think these management fees are between 2% to 3% of revenue. And they have been accounted for at the Portugal and Israel level and they will be paid shortly. So I don't think - and then I think your second question, I'm not sure I fully understood that.
Robert Grindle: Okay. I wondered - because SFR has paid €63 million expense for the sports rights and presumably that went to International who own the right? So would that have boosted International EBITDA?
Dennis Okhuijsen: No, because remember, at the international level it's capitalized, so it's not hitting EBITDA at the international level. It does hit working capital at the Altice International level, as they are making payments to the league with respect to these rights. So it's even fair to say that Altice International has pre-financed this to start off with, as you have to prepay these rights with the league and then SFR is paying on a quarterly basis as they are enjoying the SFR sport channel.
Robert Grindle: I look forward to seeing the international accounts when they arrive. Thank you.
Operator: Thank you. That will conclude today's Q&A session. I would now like to turn the call back to the speakers for any additional or closing remarks.
Nick Brown: Thank you for joining. Dial us maybe regarding follow-up questions and we look forward to seeing you in next few weeks. Thank you.